Operator: Good morning, ladies and gentlemen. Please be welcome to the results conference of Enagás that corresponds with the first semester for 2014. We published the results this morning before the opening bell, and obviously, as always, they are available in -- at the website enagas.es. The President of Enagás -- the Chairman of Enagás, Mr. Antonio Llardén, will be hosting the presentation, which will last around 20 minutes, and then we will have a Q&A session as very usual, where we will try to give you answers in the greatest detail possible. 
 Thank you very much for listening, and I will give the floor to Mr. Antonio Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you very much for the -- for being here. The results that we are presenting to you here today corresponds to the first 6 months of the year 2014, which are in line with our targets as of the start of the year. I will now comment on the most relevant figures, which you can see in greater detail on the presentation that is being showed together with this conference call. 
 EBITDA grew 0.6% compared to the first half of 2013 and has reached EUR 507.3 million. In accordance with International Financial Reporting Standards, in 2014, our participation or our shares in the Altamira and BBG plants have been consolidated by the equity method. So the contribution to the company's results are only reflected in benefits after tax. As for pro forma terms, that is to say, if 2013 during the first semester, we had also accounted for -- by the equity method, our participations in BBG and Altamira, EBITDA would have been there, growing 3.9%. As for net profit, it grew to EUR 209.9 million. That is 3.9% higher to what was obtained during the same period from the previous year. On the other hand, during the first 6 months of the year, Enagás invested a total of EUR 419 million. This figure includes the acquisition of 22.38% of TgP, a Peruvian company, for an amount of EUR 373 million. During the second half of the year, we will be selling 2.38% of TgP to Canadian Pension Plan Investment Board, and we will acquire 30% of the Compañía Operadora de Gas del Amazonas, COGA, which operates TgP's gasoduct. Including TgP has been taken account since 2014, when it started being consolidated, and it will have -- be a higher contribution as for -- as from 2016. We also have been awarded on June 30 the project in Gasoducto del Sur Peruano in Peru, where we participate with 20% take. This investment fulfills the 5 strategic criteria, which we have established for our investments -- our international investments. It is a core business asset. It is a strategic pipeline in Peru, over 1,000 kilometers in length. It requires actively participating in the management of the infrastructure. We are present in the Board of Directors, and we have a significant influence. Enagás will also act as qualified operator of the consortium, and we will be in charge of the operation and the maintenance of the pipeline. 
 Thirdly, as a criteria, it has a risk profile which is similar to the regulated business with guarantee clauses and long-term ship-or-pay contract with strong credit rating customers. Its fourth criteria is the fact that we have attractive returns with predictable cash flows in dollars, and we are in this project with a partner, Odebrecht, which has a long standing in the construction of infrastructures, and that provides us with additional assets that are complementary to us. As you all very well know, our financial position is one of our strengths. The company's net debt as of June 30 was up to EUR 3.69 billion. At the end of the first semester, we had total liquidity of EUR 375 million -- EUR 3.75 billion, and this allows us to have a high solvency to continue developing on our -- developing our investment funds, and we also have diverse services for finance. 85% of our debt is at a fixed rate. These figures confirm once again the good, sound financial position that Enagás has in order to keep on advancing in the achievement of our strategic targets. As for the evolution of natural gas, that which has to do with the transit through the Spanish gas system, that is to say, the one that will not be dedicated to internal consumption, grew almost 70% during the first 6 months, and it accounts for 24% of total demand. We also have to say that there has been a rise in tankers loading at our regasification plant. When closing the first 6 months, the volume of reloaded gas was -- amounted for what we had loaded during all of 2013, and the total gas, that is consumption plus transit, has been maintained -- has been stable as compared to 2013. That means that national demand -- national consumption has come down when compared to the same period in the previous year. The main cause has been extremely mild temperatures during this first 6 months, which have caused a decrease in consumption of around 12 terawatts per hour. What we foresee in Enagás is for the total gas -- managed Enagás system will be around 410 terawatts per hour by year end. This figure is in line with the data which was considered as basis to calculate the deficits of the gas system, which was the reference for the reform in the sector which was carried out. As for the information we provided you with during the last conference call 2 weeks ago, we have had no news whatsoever. The government has a very clear objective, which is reducing the price of energy and fine and increasing competitivity -- or competitiveness, sorry, of Spanish companies. The measures, which have been included in this Royal Decree 8/2014, can be synthesized into 3 points. These are measures that will reduce the gas deficit that will provide stability and solidity to the sector and that establish a stable and predictable regulatory framework by introducing some new elements, which we have positively valued. 
 During the next few weeks, we will see the Ministerial Order being published in order to develop these measures regulated by Royal Decree 8/2014. But in Enagás, we are anyhow working to minimize the impact of this reform on our shareholders and investors. Our objective, as we said 2 weeks ago, is to maintain the dividend for 2014 and 2015. Thus, we will fulfill the objective established in our strategic plan to increase the dividend at a growth -- a yearly growth rate of 6% between 2013 and 2014. Flexibility, solidity and adaptation capacity shown by the company will allow us to maintain that commitment of growth and value-creation for our investors and shareholders. In that sense, as you probably already know, 2 rating agencies, Standard & Poor's and Fitch, have already maintained the rating for -- reaffirmed the rating for Enagás after the gas reform. And I have to say that our presence in Mexico, Chile and Peru is growing. And importantly, this has allowed us to grow with regards to results, and we are already receiving dividends from the acquisitions, which were made by the company. 
 And I thank you for your attention, and I invite you now to ask whatever questions you consider appropriate, and all of Enagás' team is here, together with me, so that we can provide you with the most in-depth answers possible. Thank you very much. 
Operator: [Operator Instructions] First question will be asked by Pablo Cuadrado from HSBC. 
Pablo Cuadrado: I have 3 questions I wanted to ask you. First question has to do with... . 
Operator: [Operator Instructions] 
Pablo Cuadrado: In EBITDA, and you have told us that the OpEx price has come down. There has been a 5% improvement. Is that the level that you think you will be able to achieve in the future? Looking all the way to 2015 and 2016, do you think those are the efficiencies that you will be able to maintain during those next few years? Is that the level that you are going to maintain when considering the offset of the regulatory impact? And the second has to do with the debt cost, 3.1%. I think, at the -- you talked about 3.3% last year. I wanted to know if there is a further refinancing during the -- if there will be a further refinancing in the second half of year or if we consider that 3.3% can be improved. And the third question has to do with the change in the regulatory system which was proposed a few years ago. It has to do with the retribution that will be linked -- or the one that is not fixed, the variable one, so that I can understand this. Do you think that this variable part will be calculated? Considering what? Will they consider the total demand on the system or the national demand or the transport of gas because there is quite a difference between both? Could you give us some indication with regards to that variable part? 
Antonio Llardén Carratalá: Thank you, Mr. Pablo Cuadrado. We're going to answer to these 3 questions. First, efficiency. Yes, this year, we think that we can maintain this efficiency with the margin that you were commenting. And for next year and maybe the following one, we think that in the OpEx management, we will be able to increase our efficiency. So we are going to continue with this policy of, let's say, savings via efficiency. With regards -- the debt costs, we have no major refinancing for this year. So from this stance, there won't be any changes in our debt structure. You must think that we do have 85% of debt on a fixed rate, and that's why we think that, yes, by the end of the year, we will be probably slightly above with the average cost of 3.3% we said and that we set as an objective. Any of that -- and that is not having refinancing, is that we will have no surprises on these major elements of the cost of the company. And with regards to these variable demand, I will give the floor to the -- to Marcelino Oreja, our CEO -- our board member, sorry. 
Marcelino Oreja Arburúa: Thank you. As for the payout for the supply continuity, what you see -- what you say is variable, it's a national demand of total transported, but it is an activity, which is growing in our plants, with the -- which is the loading of vessels. It is major for Enagás and the system, but that is not included in the payout for supply continuity. 
Antonio Llardén Carratalá: Thank you. More questions? 
Operator: José Javier Ruiz from Macquarie. 
José Ruiz: I wanted to ask you if you could give us some objectives of cost reduction. As you said, that you could -- in the coming 3 years, you could expand that cost reduction. Secondly, I'd like to know if you could give us the average return of the Peruvian gasoduct of South and the Gasoducto del Sur, and the gas tariff is institutionalized somewhat. And I'd like to know if the financing proportions of this tariff deficit -- until we get to the maximum from which tariffs will increase? Is that the same as if -- are you going to be financing around 38% as you have been doing? 
Antonio Llardén Carratalá: Thank you, Mr. José Javier Ruiz. With regards to the first question, the cost reduction, we take the rough figures, where, this year -- we have -- for the end of this year, we have foreseen a greater efficiency that could be figured at EUR 5 million of savings and, for the coming year, another 5 years. Nevertheless, this is a work in progress. The company since the long has got an efficiency plan, and it's proving that we are efficient, and we will continue with this path. With regards to the average return on the investment of the Gasoducto del Sur in Peru, as we said, it's a double-digit one and, in any case, above 11% in the phase that we are in right now. We cannot really give more information, but you must be certain that it is fully, fully in line with the objectives that we have set. With regards to the new law, the most important thing in -- with regards to the tariff deficit are 2 things. First of all, that with the scheme set up, practically, there will be no deficit in the coming years, new deficits, almost none, while minor differences may occur, but even if we had a surplus in 1 year, that will be just devoted to eliminate quickly the accrued deficit. And for that accrued deficit, which as you know, is not huge enough for the terms, we have foreseen -- well, the system foresees to amortize it in 15 years, with even the possibility of -- even the coming year, we had surplus, which could be very probable, this surplus would be destined to eliminating that. So with the tariff deficit, really everything is solved with the regulator's actions. 
Operator: Next question by Jorge Alonso from Societe Generale. 
Jorge Alonso: I would like to ask you for more information about the enlargement of TgP's gasoduct, some details about how much could the volumes of transported gas could increase with the CapEx and with the profitability you may get. And what would be the impact that, that could have in the result of the participated companies? And another question of the -- about the infrastructures plan in Spain. Do you see any change probably mainly in the 2 major infrastructures with the regas plants of Canary Islands? Do you see -- do you foresee any change that could be accelerated or not with the entry of these infrastructures? 
Antonio Llardén Carratalá: Well, Mr. Jorge, thank you very much for your question. With regards to the TgP's enlargement gasoduct, we -- TgP covers the objectives of profitability of a double digit, which is above 11% and as in it's under-functioning. It gives -- it pays out dividend, so we include in the company the dividends coming from this investment. Once having said this, it's true that the company, TgP, has foreseen to made investments between now and 2016 of about EUR 400 million CapEx that the company will do with its own funds, and logically, that will increase the returns and the payout of these dividends that we receive. And so right now, I don't have that CapEx increase for the coming 2 years, how much it will be, but we could calculate it when time need it. So we already have dividends. And from now until 2 years time, there will be a greater investment done by the company that will increase the volume. With regards to the infrastructures plan in Spain, while there is nothing new, as you know, we've got 2 major lines, the 2 regas plants in the Canary Islands, that are just following the proceedings that are already known and the interconnections which is something, which is pending of the divisions that the new European commission may take in relation to the -- what we call the internal market of the EU and the gasoduct grid. Nothing new there, so we could say it's business as usual from this standpoint. For our forecast, and I'm talking just by heart here, regas plants, the first one will be, first, the investment is foreseen for next year, the second one from -- starting from 2016, '17. And with regards to the interconnections, for the time being, we have no specific calendar because this is pending of the final decisions of the European commission. Thank you. 
Operator: Next question by Javier Garrido from JPMorgan. 
Javier Garrido: Just 1 question, asking for more details of the estimated -- the evolution of the gas demand. Could you give us a forecast for the transported demand, which is similar to last year? What would be the national demand contribution because -- do you still foresee a minor decrease in the second semester of 12%, which is what we have seen in the first semester? And I know it's maybe too early, but could you give us an estimate of how you will see 2015? Or which would be the gas demand that would be stable, eliminating the effect of such a warm winter that we've had? Which would be the national demand, not transported, but national demand that you foresee as a stable demand for next year 2015? 
Antonio Llardén Carratalá: Thank you, Mr. Javier Garrido. With regards to the gas demand evolution, our forecast is for the total transported demand would be around 410 terawatts. And with the forecast that we've got right now, yes, the national demand by the end of the year with regards to 2013 would not decrease to the proportions that we have had in the first semester, which was around 12%, but we estimate it to recover partially, and we would be talking then of a decrease of around 4% or 5%. It's just a forecast, which, of course, is based on the fact that the rest of the year will be, from the climate stance, a normal one, and the normal is the average of the last 10 years. So the demand would recover slightly, and this decrease would be less than the one-off 2013. And for 2015, although I cannot give you any specific forecast, we estimate an increase of national demand because of a whole of factors that would coincide. In the next conference call in the -- of the -- of Q3, we would give you more specific data. Thank you very much. 
Operator: Next question by Carolina Dores from Morgan Stanley. 
Carolina Dores: I've got 2 questions. Could you give us an idea of around -- of about net debt -- net profit for 2014 because the growth was 4% before the reform? And the second question, more details about the costs for 2014 and 2015. This cost reduction, do you expect EUR 5 billion -- EUR 5 million, sorry, would be nominal reduction? Or those EUR 5 million will be including operation entry inflation? So in nominal terms, would that cost reduction be lower? 
Antonio Llardén Carratalá: Thank you very much, Ms. Dores. Obviously, our objective -- our growth objective, profit after tax is 4.2%, more or less, but we will try to fine-tune our figures when we have the strictly final impact for 2014. Regardless of what this fine-tuning might be, we do maintain our objective of dividend in absolute values for 2014 to be EUR 1.3 per share, regardless of -- I said, of the fine-tuning that we have to put in place at the end of year when we know what the impact for 2014 really was. As for cost control, as I said previously, we maintain for this year an efficiency policy, which I believe allows us to maintain this EBITDA margin, which we have talked about previously. And next year, we think that in absolute values, we will be able to add EUR 5 million so that we may improve our efficiency. Thank you very much. 
Operator: Next question will be asked by Mr. Suarez from Mediobanca. 
Javier Suarez Hernandez: I have 3 more questions. The first one has to do with the Ministerial Order for the Royal Decree. Could you give us some detail with regards to the timing of its issuance of the regulation? And what are the details that are still to be established that could be significant and that could be important, really? And the second question has to do with the variable component. Following some of the previous questions, the formula has to do with increasing the demand -- the national demand, and also, it has to do with an efficiency element controlling the efficiency. I would like to know what will -- what are your forecasts with regards to the variable components for the next 3 to 6 years? And the other question has to do with the OpEx, with the effort that you are making so that OpEx can be controlled in the next years, especially in 2015. And I would like to know where the company is seeing that those EUR 5 million can be saved, those additional EUR 5 million. And I also wanted to know how this regulatory framework has considered Castor. 
Antonio Llardén Carratalá: Thank you very much, Mr. Suarez. For timing, we don't have any official information with regards to timing. We consider that August, September, more or less -- or rather, September should be the date for the Ministerial Order to be published. But obviously, we are not the official spokespeople for the regulators, so this is just our own personal appreciation. But I do not believe that we'll have any news before September. I consider that by the end of August, September, that order will be published. New details should not be an option, really. It will simply be a fine-tuning of what the Royal Decree says with a specific application for 2014. So they will, as I said, fine-tune some figures, but we don't really expect any elements of surprise or novelties in this. As for the variable, it establishes something that is quite important, which is the fact that for the first time, we will have a stable income flow, which will be parallel and complementary to fixed retributions that establishes an efficiency factor for the next 6 years of 0.97% fixed. So that has been established and, obviously, depending on the variations of demand. But the forecast that the regulator has put in place by calculating the system is the existence of a stable, constant flow that might -- together with another flow, that might vary. And as for the OpEx, efficiency -- or the improvement of efficiency is being thought of at an important department, which is that of efficiency -- of energy efficiency. That might be a bit paradoxical since we deal with energy transportation. But since we consume energy in order to transport energy are the biggest challenge we are working on in the last few months considering -- always considering the reform of the sector was to improve our own efficiency -- our own internal energy efficiency. I'd say that over 1/2 of the efforts being made are destined to that specific parcel of our work, and everything that has to do with procurement with procurement costs is also an important part of our work. We have a very efficient procurement strategy, and we have high-quality providers. But that is a policy that allows us to keep on saving. So those are the 2 main fields for saving. And as for Castor, I can tell you that in the regulatory reform, when calculating the costs for the system in the next few years and calculating deficits and so on, we always have taken into account the total cost for Castor if it was working, regardless of what may happen in the future. So in the figures, in all the calculations that have been discussed and put in place, we've always been quite conservative, and we've been very cautious, and we've always included a hypothesis of -- you may -- well, we could say a numeric hypothesis, which took into consideration Castor working. 
Operator: The next question is going to be asked by Virginia Sanz from Deutsche Bank. 
Virginia De Madrid Grosse: I have a few questions with regards to your CapEx. I have seen that there have been some figures announced with regards to national investment, which is around EUR 40 million, will be invested Spain. I wanted to know what is your objective for infrastructure investment for 2014 and whether you could give us some sort of objective for 2015 and also your asset volume. And what do you think will enter in 2014? And I also wanted to know if the debt that has been shown during the first half could be a good estimate for the end of the year or if you think it might grow before the year end. 
Antonio Llardén Carratalá: Thank you very much, Ms. Sanz. First of all, our total CapEx for 2014 in Spain, including that -- those EUR 40 million you were referring to, should be, at the end of year, at around EUR 180 million, divided into 2 main lines of work, buffer gas in Vienna and the work carried out in the compression station called Oscarur [ph], which is close to Redon for the connection with the France gassing system. So the assets that have been put in place -- with regards to assets put in place, it will depend. It will have to have similar figures, but it will not necessarily coincide with December 31. So the buffer gas, yes, but as for Oscarur [ph], we do not think it will be done before 2015. So there is this part of initiating the operation in next year. And now for CapEx for 2015, our forecast would be quite similar, around EUR 160 million, basically in those 2 assets that I've mentioned and the regasification plant in Canaries, in Canary Islands, where we will be initiating the work. And at the end of the year, we consider that we might be at around EUR 2.9 billion. It's round figures. I'm writing you with round figures. Thank you very much. 
Operator: No further questions in Spanish. We will now be listening to the questions in English. The first question comes from Olivier Van Doosselaere from Exane. 
Olivier Van Doosselaere: I just had 1 question remaining. We need to understand a little bit better what you're seeing on the OpEx savings, given about EUR 5 million of savings, I think, for 2014 and another EUR 5 million for 2015, but if in the first half, like you're indicating, the OpEx went down by 5.4%. I calculated that you had about EUR 140 million of OpEx in the first half of 2013. So already in the first half, you would have made savings by close to EUR 8 million on your OpEx line in 2014, actually suggesting that, that OpEx would go up and not down in the second half of this year. And even if I take away the asset that have been deconsolidated, it looks like you already exceeded your full year target for 2014 of EUR 5 million. So I was wondering if you could maybe give some more details on that one and if maybe you're actually being conservative on the target that you mentioned. 
Antonio Llardén Carratalá: Yes. Thank you very much, Olivier. Yes, what I said previously was that apart from what has already been done regarding efficiency in the first semester, we consider that in the second semester, we might achieve further EUR 5 million with regards to efficiencies. So we haven't calculated the total, but I consider that in the second semester, we would be saving a further EUR 5 million. And for 2015, we would add EUR 5 million to that total. These are really rough figures because, as I told you, the work plan that we are carrying out has to do with the energy efficiency. And this is work in progress, and it will be evolving along the next 12 months. And all of this is linked to some technical matters, and it has to do with energy flow and transportation that is not easy to create models for. So we're simply working on it, and I know that our plan is quite ambitious. Thank you very much. 
Operator: There are no further questions. Thank you. 
Antonio Llardén Carratalá: Well, if there are no further questions, we consider that the conference call is over. Thank you very much.